Operator: Welcome to the DexCom fourth quarter and full year 2012 earnings conference call. [Operator instructions.] I would now like to turn the call over to Terry Gregg. You may begin.
Terry Gregg: Thank you, operator, and thanks for joining us today for our Q4 and full year 2012 conference call. I’m going to ask Steve Pacelli to go through the Safe Harbor statement. Steve?
Steve Pacelli: Sure, thanks Terry. Some of the statements that we will make in today's call may constitute forward-looking statements. These statements reflect management's expectations about future events, operating plans, and performance and speak only as of the date hereof. These forward-looking statements involve a number of risks and uncertainties. A list of the factors that could cause actual results to be materially different from those expressed or implied by any of these forward-looking statements is detailed under “risk factors” and elsewhere in our annual repost on Form 10-K, our quarterly reports on our Form 10-Q, and other reports filed at SEC. We undertake no obligation to update publicly or revive these forward-looking statements for any reason. Additionally, we will discuss certain financial information that has not been prepared in accordance with GAAP with respect to our cash operating loss. This non-GAAP information is provided to enhance your overall understanding of our current financial performance. The presentation of this additional information should not be considered in isolation, or as a substitute for results or superior results prepared in accordance with GAAP. Terry?
Terry Gregg: Thanks, Steve. Joining me today are Kevin Sayer, our president and chief operating officer; Jess Roper, our chief financial officer; and you just heard from Steve Pacelli, our executive vice president of strategy and corporate development. Our agenda for today’s call is fairly typical. I will provide a brief update on our G4 PLATINUM launch activities, Kevin will review our detailed fourth quarter 2012 financial results and provide our customary operations update, and then I will offer some concluding thoughts. As we discussed during our third quarter 2012 earnings call, on October 5, 2012 we received approval from the Food and Drug Administration to begin commercially marketing our fourth-generation CGM system, the DexCom G4 PLATINUM continuous glucose monitoring system. The U.S. launch of G4 PLATINUM has generated a higher level of excitement among patients, partners, and physicians than any of our previous commercial launches. We began taking orders for G4 PLATINUM immediately upon approval, and we completed our initial G4 PLATINUM shipments to patients before the end of October 2012. While our initial focus was on processing orders for new patients, we also successfully upgraded a fair number of existing SEVEN Plus users to the G4 PLATINUM in Q4. Also during Q4, approximately 60-65% of PLATINUM starter kits shipped went to new patients, while the balance went to existing SEVEN Plus patients, including patients who took advantage of our $399 in warranty upgrade promotion; patients who purchased the SEVEN Plus in September 2012, who were entitled to a free upgrade; and SEVEN Plus patients who were out of warranty and were processed through normal reimbursement channels. To add some color to the new patients, I note that we had a 50% increase in kits shipped to new patients in Q4 2012, versus Q4 2011. And we sold more kits to new patients in the U.S. alone in Q4 2012 than the total number of kits we sold in Q4 2011. The commercial introduction of G4 PLATINUM continues to exceed our expectations. Our pipeline of new patient opportunities remains robust. Call volumes into customer service remain strong, and in spite of typical first quarter seasonality, first quarter sales through late February have been solid. More than ever, we believe G4 PLATINUM sets a new standard for sensor performance. It is the most accurate and reliable continuous glucose sensor ever commercialized, and we believe this system will accelerate category adoption of CGM. Now, before I’ll turn the call over to Kevin Sayer, I’m pleased to share that we have yet again delivered on a significant operational milestone at DexCom. Just this week, we received approval of an expanded indication for our CE mark to include pediatric patients and expect to update our product labeling and begin marketing to pediatric patients in Europe before the end of Q1. Additionally, as promised, we have filed a PMA supplement with the Food and Drug Administration seeking a pediatric indication for the G4 PLATINUM here in the U.S.. I would like to acknowledge the hard work of the people at DexCom, particularly our outstanding clinical and regulatory teams who have taken us one step closer to enabling DexCom to care for all people with diabetes. And with that, I would like to turn the call over to Kevin Sayer. 
Kevin Sayer: Thank you, Terry. I’ll start with the financial updates. DexCom generated $31.7 million in product revenue from the first quarter of 2012 compared to $20.9 million for the same quarter in 2011, a $10.8 million, or 52%, increase. We note the product revenue for Q4 includes a $1.2 million reversal of a sales returns reserve we recorded in Q3 relating to our 30-day money-back guarantee on DexCom hardware, or the so-called September patients. Sequentially, product revenue for Q4 of 2012 increased 50% from the prior quarter. As we stated in the G4 PLATINUM approval call we held in October 2012, we believe that many purchase decisions during Q3 were deferred, as patients and healthcare providers anticipated the G4 PLATINUM introduction. While we believe this may have led to additional demand in Q4, as Terry mentioned in his remarks, we continue to see strong demand for G4 PLATINUM in the first quarter of 2013. Total revenue from the first quarter of 2012 was $33.3 million, compared to $22.4 million during the same quarter in 2011. Our product gross profit totaled $17.2 million, generating a product gross margin of 54% for Q4 2012, compared to a product gross profit of $10.2 million, and a product gross margin of 49% for the same quarter in the prior year. Please note that product gross margin in Q4 2012 was affected by a number of factors related to our G4 PLATINUM launch, including the impact of our $399 in warranty upgrade program, manufacturing scale up activities for G4 PLATINUM, extremely high manufacturing and sales volumes, early stage production yields, and the continued support of our SEVEN Plus sensor manufacturing operations. Some final thoughts on our product revenues on our gross profits during Q4: Our split between consumable and durable revenues was slightly more heavily weighted to durables in Q4 due to the G4 PLATINUM launch, with approximately 32% of our product revenues generated by sales of G4 PLATINUM hardware and approximately 68% generated by sales of both SEVEN Plus and G4 PLATINUM sensors. ASP for sensors remain constant, while the ASP for our hardware was negatively affected by our $399 in warranty upgrade program. Our international business continued to perform well in Q4, accounting for between 5% and 10% of our product revenues. However, the U.S. launch of G4 PLATINUM somewhat overshadowed our consistent OUS growth. Research and development expense totaled $8.7 million for Q4 of 2012, compared to $9.2 million in Q4 2011, and the decrease primarily resulting from lower clinical trial costs and lower G4 development expenses. Sequentially, we are pleased to report that R&D expense was down 18% as a result of similar factors: lower clinical trial costs, reduced Gen-4 development expenses, and reduced outside consulting services. As we move into 2013, we expect that R&D expense for the full year would be relatively flat versus 2012. Much will depend upon our timelines and opportunities with the FDA. With the pediatric PMA supplement on file, our R&D focus this year will be on the Animus and Tandem PMA filings and subsequent product approvals, mobile and cloud-based data platforms, continued system performance improvements, all of the elements of our gen-5 CGM system, and our early stage research on the gen-6 sensor. Selling, general and administrative expense totaled $17.2 million in Q4 of 2012, compared to $13.7 million during the second quarter of 2011, the increase primarily related to sales, marketing, and information technology costs to support revenue growth. A little more detail on the increase of the $3.5 million increase in SG&A, $500,000 of it centered in noncash share-based compensation. The remaining increase was related to G4 PLATINUM launch costs, increased variable sales costs related to our 50%-plus revenue growth, both sequentially and over 2011, and marketing information technology costs to support this revenue growth. As we look at fiscal 2013, we do anticipate an increase in SG&A expense above 20% to support our growth. While G&A will increase moderately, we intend to invest in the sales and marketing side of our business. Earlier this month, we commenced the reorganization of our U.S. field team. We’ve increased the number of U.S. sales territories from 48 to 68, and we have consolidated what was previously a tiered model with multiple sales reps and field-based clinical support staff sharing larger territories into a flat structure with a single sales rep solely responsible for a much smaller territory. Our clinical support team will no longer be field-based, but instead will be redeployed on phone lines and on computers as part of our DexCom Care initiative, proactively reaching out to patients on predefined schedules to improve patient experience while also working to increase sensor utilization and patient retention. As we have discussed on numerous occasions, most of our patients are trained using DexCom’s support resources, including our online tools in combination with support from our healthcare professionals and our technical support center. So with smaller territories, we believe our sales reps will have the bandwidth to handle local training issues where necessary. Upon completion of this reorganization, we will hold expanded headcount in our sales organization, including non field based clinical support by approximately 15%. We expect this reorganization to be completed by early Q2 2013. Our net loss for the fourth quarter of 2012 totaled $8.5 million, including $6.3 million in noncash expenses centered in share-based compensation, depreciation, and amortization. Absent these noncash charges, our net loss for Q4 2012 would have been $2.2 million. Compare this cash operating loss of $2.2 million to a cash operating loss of $9.8 million in the prior quarter and a cash operating loss of $7.2 million in Q4 2011. It’s easy to understand our believe that we can in fact move our current business model to profitability with increased volumes. Our loss per share for the quarter was $0.12. With respect to our balance sheet, we ended the quarter with $48.7 million in cash and marketable securities, down $4.7 million from Q3. As we stated during our last call, we had significant working capital needs during Q4, as our receivables increased over $7 million from Q3. We had capital expenditures of another $1.4 million, and we paid down approximately $2 million in accruals in conjunction with year end. Finally, as we disclosed on form 8-K and during our prepared remarks at the JPMorgan conference, in January our product revenue guidance for 2013 is $120-130 million. Now for a business update. Turning to our product pipeline as Terry stated earlier, we filed a PMA supplement with the Food and Drug Administration seeking a pediatric indication for the G4 PLATINUM and we have received CE mark approval for pediatric patients and expect to be in marketing to pediatric patients in Europe before the end of Q1. We remain extremely excited about prospect of a pediatric indication, as it not only significantly expands the number of endocrinologists we can call on in the U.S., we expect to be able to recommend our technology to patients as young as two years old, which would be a first for CGM. Our future generation products are very much geared towards this market segment. On the international front, we expect approval in Canada and India shortly, and we continue to explore opportunities in China and Japan and other Asian geographies. We continue with the development of the gen-5 system, working on an improved applicator combined a mobile phone interface. We continue to have discussions with the FDA on this front, and believe that DexCom is in a very strong position to become the first class three medical device to communicate directly to a mobile platform. Shifting to our integration partners, Animus continues to commercialize the Animus 5 system in Europe, and in its recent earnings call Johnson & Johnson disclosed that in markets where the Animus 5 is commercial in Europe, they have seen 35-50% average sales growth compared to markets where the product has not yet launched. With regard to filing for U.S. approval of the Animus 5, all development work and systems testing is complete, and we are working diligently with Animus to finalize their PMA application to be submitted before the end of this quarter. We are pleased to note our recent agreement with our newest partner, Tandem Diabetes Care, to accelerate the development efforts, and we will be incorporating the G4 PLATINUM into the Tandem system. We expect development to continue through 2013, and hope to be in a position to assist Tandem in filing a PMA with the Food and Drug Administration before the end of the year. Regarding our relationship with Insulet, as many of you are aware, Insulet announced during its presentation at the recent JPMorgan conference in San Francisco that it was seeking to partner with a to be named glucose sensor company in an effort to physically integrate a continuous sensor directly into the disposable pod in addition to displaying CGM data on the Insulet handheld device. A couple of things have changed since we entered into our original agreement with Insulet. First, we have made significant progress in moving our CGM display directly to a phone. Both companies believe that a display of CGM data on a patient’s smartphone significantly reduces the market impact of displaying data on the pod handheld. This is different from a durable pump like Animus or Tandem products, where the device remains continuously tethered to the patient. Second, the physical integration that Insulet intends to pursue represents several problems for DexCom. An integration of this nature would require the transfer of much of our sensor intellectual property and know how to Insulet so these combination devices could be manufactured. We would then have to determine how to share the patients and the resulting revenues of the combination product. And finally, and perhaps most important, DexCom is working to develop a sensor that will last 10-14 days, so integrating our technology into a 3-4 day disposable doesn’t make economic sense for us as it will cost us the same to manufacture a 3-day sensor as a 10-day sensor. While we have not formally terminated our contract, the integration path chosen by Insulet effectively ends our relationship and we wish them well. Turning to our development partnership with Roche, as we’ve discussed previously, Roche has spent the past several months evaluating the feasibility of incorporating G4 PLATINUM into their next-generation handheld diabetes management system. Roche recently concluded that the incremental expense associated with doing so could not be justified from a time to market perspective, particularly in light of our gen-5 timelines. Like Insulet, Roche also understands that as DexCom’s hardware platform shifts directly to direct display on a smartphone, the value of integrating gen-5 into a future Roche handheld device is much less meaningful as patients will opt for CGM display on the phone. For these reasons, together with the fact that Roche and all other SMBG companies are looking at a very challenging diabetes marketplace with respect to pricing pressure and decreasing reimbursement as a result of competitive bidding, Roche has made the decision not to move forward with gen-5 integration at this time, and will instead focus resources on their core business. Our overall relationship with Roche remains very strong, as Roche is a very strong distribution partner in many of our international geographies, and we continue to explore future distribution collaborations with them. Finally, on the Edwards front, we are very pleased to announce our second-generation GlucoClear system has received CE mark. While we don’t expect too many significant sales this year, we expect 2013 to be a pivotal year as Edwards completes additional accuracy studies in Europe and obtains greater clarity on the pathway toward U.S. approval. We remain enthusiastic about the significant breakout opportunity represented by this technology, and look forward to supporting Edwards as they bring our best-in-class sensor technology to the critical care setting. I’d now like to turn the call back over to Terry for some concluding remarks. 
Terry Gregg: Thanks, Kevin. I’d like to start by highlighting our Q4 financial performance. Product revenue clearly exceeded our expectations in the quarter, but I am equally pleased by our operating performance. As you know, our board set a stretch goal for us to reach cash operating breakeven during Q4 of 2012. And we got within $2.2 million of that goal, in spite of a number of unanticipated expenses during 2012, such as costs related to our SweetSpot acquisition, costs related to advancing our mobile platform, and costs associated with an earlier than expected G4 PLATINUM product launch, none of which were contemplated in our original budget. Needless to say, I am excited by the long term profitability profile we believe we can achieve here at DexCom. N Now, in terms of our messaging for 2013, this is a year we put CGM first. We have long said that to effectively treat diabetes, you must know where you are going before you can figure out how to get there. We believe CGM is the first tool that should be used in any treatment approach. For newly diagnosed patients, how does a doctor decide appropriate insulin dosage without understanding the patient’s glucose profile. For all insulin taking patients, the method of insulin delivery is not nearly as important as knowing when to dose and how much insulin to take. And for all people with diabetes, clinical data supports the potential benefit of CGM for titration of insulin, oral medications, lifestyle changes such as changes to diet or exercise routine. We believe CGM will become the first line of therapy for all insulin taking patients and one day for all diabetes patients. Turning to our pipeline, we are obviously very excited about the prospect of bringing G4 PLATINUM to the pediatric community. Today, pediatric patients represent only about 10-15% of our installed base, and with an estimated 300,000 to 400,000 people with Type I diabetes in the U.S. alone who are under the age of 18, we think this is an extremely important growth opportunity for the company. In fact, as we studied the pediatric opportunity, and the unique challenges faced by parents managing a child with Type 1 diabetes, a new product concept was born: the DexCom Share system. So the DexCom Share system will be a docking station for the G4 PLATINUM receiver, enabling the wireless transmission of glucose information such as the patient’s string graph and alert notifications from the G4 PLATINUM to designated recipients, allowing the recipient to view the patient’s data on a smartphone. For example, a parent can receive glucose information during the nighttime, while the child sleeps in another room, during the school day, while the parent is at work, or even for nonpediatric applications, such as for a spouse while at work or when traveling. So when I’m asked what is DexCom’s share, my response is straightforward. Share is not waking up at 3am to take a finger stick from your child, the freedom to finally allow your child to sleep over at his or her friend’s house, not worrying when your spouse is away on a business trip. The idea is simple: connecting DexCom users to the people who care about them. We expect to file the DexCom Share system with the FDA in the third quarter of this year. Now I’d like to conclude with some market commentary regarding the G4 PLATINUM. While the general feedback from patients and healthcare providers has been nothing short of remarkable, we have seen three recurring points of praise. First is accuracy. The sensor is 20% more accurate, from 400 to 400 mg of detection, 30% more accurate in the 70 mg and below area of hypoglycemia protection. Second is range of connectivity. The SEVEN Plus had somewhere between 5 and 8 feet of connectivity and while the G4 PLATINUM is labeled for 20 feet, we’re hearing it’s closer to 50 feet, especially in line of sight. So if you think about a patient’s mobility at home, the patient might be able to leave it on a nightstand, go down to the kitchen, come back up, and not lose any data packets. Third is its size. You know, it’s about one-third the size of the old receiver, so the patient can slip it into a pocket or put it into a purse. As I look back on my diabetes career, nearly 20 years ago I began my quest to develop a continuous glucose monitoring system to meet the needs and expectations of all people with diabetes. And now four generations later, I truly believe we have delivered a product in the G4 PLATINUM with broad appeal and broad applications that will continue to accelerate the growth of CGM as a category and DexCom as the market leading participant. We will replace finger sticks, not if, just when. Thank you, and we’ll open it up for questions. 
Operator: [Operator instructions.] And our first question comes from Ben Andrew from William Blair. Please go ahead. 
Ben Andrew - William Blair: Terry, two topics for me if you could please. Talk a little bit more about the patient dynamics as you’ve gone through the launch, and how it’s changing. You gave some statistics relative to the percent that were shipped on the new version. Can you give us a sense of what the installed base is, or any other metrics that we can use to kind of project forward from here? 
Terry Gregg: You know, I’ve never given direct installed base. You guys all kind of make up your models and quite frankly you’re pretty good at that, so I don’t think we’ll help you out in that. That’s what you get paid for, I think. I will say this. The most interesting dynamic as you’re preparing new models is the fact that we’re seeing greater utilization of sensors in the G4 than we did with the SEVEN Plus. And so what does that mean? Are they using it more frequently? Possibly. Certainly I think there is a trust level with the accuracy of the technology, which is encouraging patients not to take as many holidays possibly. But we don’t have all the metrics yet to analyze it as completely as we would like. But that is one interesting thing that we’re seeing post the launch, and certainly moving into this first quarter. 
Ben Andrew - William Blair: And is it different in the newer patients and the patients who had been on gen-3 in that dynamic? Or still too early to say? 
Terry Gregg: It’s still too early to say. We haven’t dialed down the metrics to that level yet. 
Ben Andrew - William Blair: And then you talked about some changes in the field organization, and maybe give us a bit more detail there and what that will do through the P&L relative to kind of bringing more people onto a commission basis, and hopefully driving more sales directly. 
Kevin Sayer: You know, Ben, as we look at our structure, we just felt we needed more coverage. And we had the field clinical sales team, and as we look at how easy our product is to use, the fact that as I said earlier most of our patients train with our support materials or online, we felt we could best deploy our resources in the field with feet on the street. So in essence, as I said, we’ll have 68 territories. We’re also adding to the in-house team. We gave them a goal as to how much more they could spend, and as I’ve said, we won’t spend more than 20% total on SG&A, but that will flow through the P&L a little bit in the first quarter, more in the second, and then you’ll have the full throttle certainly for the entire third and fourth quarter. The variable expenses will go up, obviously, as they did this quarter, when we have a very successful quarter and sell a lot of product.
Terry Gregg: I would only add to that, you know there’s about somewhere between 800 and 1,000 pediatric endocrinologists that today we don’t call on, and so part of this structure change and expansion was to give our sales reps the bandwidth to go call on that endocrinology group. The good news is that they tend to be centered in areas geographically that we can address it with the smaller territory, without having to really expand more sales reps than moving from the 48 to the 68 territories. 
Ben Andrew - William Blair: And then just briefly, expanding on that point, when you get the pediatric indication in the U.S., and then bring on the Vibe, how should we think about that timing of those rollouts? Are those things that can step function quickly? Or would they take some time to have an impact on patient [unintelligible]? 
Kevin Sayer: We just launched a new product 20 days after it got approved, so when we get peds approval, we’ll roll it out pretty fast. When it comes to how it will affect our numbers, we gave a range of $120-130 million in revenue, and literally that range is kind of variable based upon peds approval. If we got no peds approval, that $120 million number would be our target, or $125 million or something lower, and then peds takes us up into the higher end of that range. But new patients will jump onboard pretty quickly with the peds approval. That will not be something we wait for. With Animus Vibe, we think patients will sign up pretty quickly. We know Animus will have very aggressive upgrade programs, see if their patients upgrade, just on the Animus Vibe system. Some of those patients already use DexCom sensors. So we really haven’t modeled a lot of that out, and we don’t have any of it in our 2013 numbers. So we’ll give you more guidance on that as the year goes on. 
Operator: Our next question comes from Bill Plovanic from Canaccord. Please go ahead. 
Bill Plovanic - Canaccord: A couple of questions. First, on gross margins, as you ramp up the manufacturing of this product, remind us, at this point, what type of margins do you think you can hit on the disposables at scale? And when is that at scale timeframe? 
Kevin Sayer: Well, we’ve long maintained we can hit between 65% and 75% margins on these G4 disposables. That scale up should really start to occur about the end of this year. The factors that will affect that will be continuing to do our SEVEN Plus manufacturing line, that [connect store]. So we still have to weigh those two things against each other. You know, I talked a bit about start up yields in my comments earlier for the fourth quarter. I can tell you the first quarter our team is doing a spectacular job of getting yields much better than what we’ve targeted, so kudos to those guys. So we think this process is much more robust than anything we’ve had for SEVEN Plus, so that is something that will be a positive factor as well. We believe as we start hitting the end of this year we’ll be getting close to on our disposable margin targets. We certainly should be at the lower end of the 65-75% range anyway. 
Bill Plovanic - Canaccord: And you’re still comfortable with that range to the higher end over time, now that you have a little experience? 
Kevin Sayer: I’m more comfortable today than I’ve ever been. Absolutely. I think Terry and Steve are, and everybody else is too. We’re doing a very good job. 
Bill Plovanic - Canaccord: And then on the R&D, I think the one thing I didn’t hear you talk about was the 10-day. And I was wondering if we could get some color on that. 
Kevin Sayer: You know what? Or focus for next year will not be on the 10-day. Our filings for this year will be the things we talked about. Our focus in 2013 will be on those items we reported, the gen-5 sensor, getting these partnership products filed and out the door, a little work on our gen-6 sensor, in addition to the gen-5. 10-day is something that we kind of view off the main path. We’ll work on our algorithms and our software, and decide when we’re going to drop that in, and we have not made a decision on that front yet. 
Bill Plovanic - Canaccord: And then since I’m on the R&D, the last question, just it seems like with the guidance that you’re providing at this roughly flat 2013 versus 2012, and even on the SG&A guidance of up 20% year over year, it seems like as you put together your 2013 budgets, you’re extremely focused on driving this to cash flow breakeven or profitability. Is that a fair statement? 
Kevin Sayer: I would say that would be my new name. Yeah. That is a very fair assessment, and we’re very focused on that. 
Operator: Our next question comes from Thom Gunderson from Piper Jaffray. Please go ahead. 
Thom Gunderson - Piper Jaffray: A couple of things on regulatory. The supplement that you filed for pediatric, can you narrow that down a little bit for timing, so we can model that in? 
Kevin Sayer: Well, statutorily, it’s a 180-day filing, and we’ve got to stand by that, not having a crystal ball. Obviously we’re taking bets, as we did with G4, as to when that will get approval, and of course Terry is always the most optimistic one, which means I’ll probably lose another dinner bet, but that’s okay. But no, I think we should look at that 180 day, not knowing anything else. The only kind of factor that you might want to think about is the fact that they’ve already seen the adult data, so we’re really just comparing the pediatric data to the adult data and submitting that. I know that they are anxious, and we’re anxious, to receive the file, because their belief, their being FDA, is that every child should be on a CGM device as part of the diabetes therapy model. 
Thom Gunderson - Piper Jaffray: And what’s the start time for that? For the 180 days? 
Terry Gregg: Sometime in the first quarter. 
Kevin Sayer: As I said, we have filed the PMA application this quarter. It’s already in, so the clock has started. So I would say it’s sometime in the second half of the year. 
Thom Gunderson - Piper Jaffray: And then Kevin, when you were describing Animus, I got a little confused. Is that a supplement as well, and is it a supplement submitted by DexCom, or is it a new PMA submitted by J&J? 
Kevin Sayer: I’ll let Steve take care of that one. 
Steve Pacelli: This has been a moving target, but now we have some clarity out of the FDA. Frankly, it was extremely positive. So you’ll recall probably a year or so ago, we had this concept we were going to try to file a supplement on top of the PMA. We were guided during the G4 PLATINUM review that we should wait until G4 PLATINUM was approved before we filed the Animus Vibe. What the FDA determined is that it would be a full PMA. But what they also determined is that Animus can file the Vibe system, and actually rather than include all of the detailed information regarding G4 PLATINUM, they can actually just reference our PMA submission. So it’s really just a PMA filing that will be conducted by Animus referencing the G4 PLATINUM. Why that’s a benefit to both of us, as you’ll recall, as the Vibe moved the Animus pump platform from the 510(k) product to a PMA product, which means Animus becomes subject to, as we are, on a daily basis, all the change control procedures and requirements and basically they become a PMA company and have to file every change they make with respect to the manufacturing operation and things like that. By allowing Animus to file a PMA separate and distinct from ours, and be able to reference ours, that enables them to control the regulatory process on their front with respect to ongoing manufacturing operations, with respect to the pump. So we don’t have to be in the middle of that. So this is all kind of new information within the last three to six months, but it’s actually very positive from an operations perspective. 
Thom Gunderson - Piper Jaffray: And then on Roche, I understand what you said in the prepared remarks, but I didn’t hear any reference to the in-office CGM that you have partnership with. Is that still ongoing, or is that dissolving? 
Steve Pacelli: It is. I wouldn’t read too much into the Roche announcement. Roche is a very strong partner for us internationally. Roche has some direct distribution rights in some countries, and they frankly work with our distributors and our distribution network in other countries. They’ve been a very strong partner, and will continue to be. We’ve said before, the SEVEN Plus professional use system that Roche has carried in the bag has been less than successful. We’ve been saying that for several quarters now. And I think that program is still ongoing, but look, as we look to wind down the SEVEN Plus, naturally that program would look to wind down sometime this year. And one of the other items on our R&D radar screen would be moving the G4 PLATINUM to a professional use model, but it currently today is not labeled for multiple patient use, so that’s something that we’re looking at obtaining a new labeled indication for. Not sure whether Roche would be the partner there or not, but we would evaluate that at the time we got an approval. 
Thom Gunderson - Piper Jaffray: And then Kevin, I think you mentioned this in reference to a question from Bill, but does the $120-130 million product revenue guidance that you gave out a month ago, it clearly assumes a pediatric approval moving different times through the year. Does it assume Vibe approved this year, or would that be upside? 
Kevin Sayer: It assumes no Vibe approval this year. There’s no Animus numbers baked into that. And the pediatric impact is really something, again, that would push us to the upper end of the range, or even outside the upper end of the range. Our numbers are built pretty solidly from the ground up.
Operator: Our next question comes from Chris Cooley from Stephens. Please go ahead. 
Chris Cooley - Stephens: Are there going to be charges that we should think about, or any one-time items in the P&L associated with the change, both with Insulet and as well, with Roche, in terms of the co-development agreements there that we should think of in addition to just the timing out of those development efforts? 
Kevin Sayer: No, there won’t be any one-time charges with respect to that. 
Terry Gregg: There will be some changes with the development grant revenue. So if you look at Edwards, we have effectively completed that development arrangement, and recognized revenue through December. We won’t have any going forward. Other than that, in Q1 we have development grant revenue of about $1 million. Going forward, we expect development grant revenue of about $100,000 a quarter through 2014 as we stand here today. 
Chris Cooley - Stephens: And then just lastly, when I think about product revenue guidance for the year, should we think about a normal split between consumables and hardware that we’ve seen historically? I’m just looking at what you put up in the fourth quarter, and what seems to be intimated regarding new patient starts here in the Q1, and just trying to think about that a little bit, when I think about both top line growth and margin. Just any additional color you could provide there would be great. 
Kevin Sayer: You know, we’ve stated in the past that our split is typically 25-30% on the durable and the rest on the disposable side. We did 32% this quarter, as we launched a new product, but in all reality, if we didn’t have the $399 upgrade program, and also the $1.2 million that we recognized from the September patients, the ratios would have been within that range of 25-30%. So we think things will remain relatively consistent on that front, 25-30% durables, and the rest of it for the consumable products.
Operator: Our next question comes from Danielle Antalffy from Leerink Swann. Please go ahead. 
Danielle Antalffy - Leerink Swann: I know you guys don’t give quarterly guidance, but just trying to get a sense, the first quarter is usually a down quarter sequentially given deductibles resetting, etc., but you have a lot of momentum, it seems, going into the first quarter. How do we think about the launch continuing to progress versus the trend of resetting deductibles and how that might offset that? If you could give any context around that, that would be really helpful. 
Terry Gregg: I’ll weigh in, and then I’m going to ask Kevin to fall in, as I give you the 35,000-foot level, and he can get you to more specificity. Certainly we are challenged with, as you’ve already identified, the seasonality with deductibles and flexible spending accounts. That’s not going to change. We did $18 million in Q1 of 2012, so that was down. We had done $21 million in Q4. So we did $32 million in Q4. We’re going to be down from that standpoint. And if I gave you what we think we’re going to do this quarter, then every single quarter going forward we’re going to have to do the same thing, and we don’t want to get into that. But I would say that it is, on the one end, the same type of softness that we see. The little bit of change that - you know, you heard my comment saying we had a solid through the end of February - is just that the gen-4 I think in terms of word of mouth by patient to patient communication, which we’ve seen really I think more dramatically in the last three months than we have ever with the SEVEN Plus, that there is that interest level. Kevin mentioned that the opportunities in the pipeline are as full as we’ve ever seen them in the history of the company. Now, that doesn’t mean that they absolutely translate into a new starter kit sale, but certainly the interest level is there. But again, we haven’t, as we look at the landscape of deductibles, they’ve gone up a bit, but it’s still single digits this year as far as we can tell, from that standpoint. So I think there are some of those headwinds. But we’re doing okay. And Kevin, you want to get to more granularity? 
Kevin Sayer: No, Terry, you covered a number of the points. One of the things going into this quarter, let’s just go back to Q4 revenues for a minute, because there are some things that won’t reappear. We had the $1.2 million we carried over from Q3 that you can’t extrapolate what Q1’s going to be like from that. We also had some pent up demand. But I really can’t quantify in Q3 of patients who did not buy who waited to buy in Q4. But that makes things a little bit different. And we had the $399 upgrade program. So we have a group of patients who are non-repeatable. That being said, as we’ve come out of most years, I can tell you we have sold to most every patient we could ever find, most quarters. And we came out of Q4 this year, that was not the case. We still had a very robust pipeline going into the year. And we’re still getting a lot of phone calls. We are getting very favorable reaction, not only from our patient customers, our distribution partners, our dealers are ordering regularly, and basically can’t keep the thing on the shelf. So while all the issues exist with deductibles and copays and all these other things, it just appears that patients are a little more excited about this new product, and might be able to deal with those issues and make an investment in their care earlier than they have in the past. So you combine all the positives, with all the things that are floating, and we’re very excited about the quarter, but there’s a bit of uncertainty still. 
Danielle Antalffy - Leerink Swann: And then if I look at your product revenue guidance for 2013, the $120-130 million, beyond Animus Vibe coming online this year, earlier pediatric indication, what are the other variables that could get you toward the higher end of that range? For example, you mentioned more sensors being used. Is that something that could continue? And if it does, is that something that gets you to the higher end? Or is that more something that gets you within the middle? Any color on that? 
Kevin Sayer: You know, I think our utilization would move us up a bit into the range. Probably doesn’t get us to the very end, but I think it’s very helpful. I think the other thing, if we can add a point to the retention rate, a point off the attrition rate, that’s certainly very helpful. We know the gen-4 does that. So far, from what we’ve seen, people really like this thing and appear to be using it very regularly. Earlier pediatric approval helps more than anything else we can do right now, and we can’t predict that. And certainly we don’t have any Vibe numbers in what we’ve got. But those are really the levers we could pull. We’re going to have more coverage with more sales reps and more territories, so we’ll be calling on people we haven’t called in in the past, or going more deeply into practices where we’ve had to be relatively shallow before. So we might be able to go deeper and again, get more from there, but bottom line is we’ve got a 40% target on our backs that we put on our backs already. We’re going to have to execute pretty well just to do that. 
Terry Gregg: The only other thing I would comment on is this peer-to-peer, which we’re beginning to see early stages of that communication, which is then driving some sales outside of our normal call patterns. Which we hope is kind of the vision of the future, and what we’ve long predicted as a trajectory increase attribute of having more patient demand than physician prescribing. So we’ll see if that continues to play out in a robust way.
Operator: Our next question comes from Mimi Pham from ABR Healthco. Please go ahead. 
Mimi Pham - ABR Healthco: Can you clarify what percent of those 1,000 pediatric endocrinologists you would be able to access with your reorganized sales force later this year? 
Terry Gregg: That would be 100%.
Mimi Pham - ABR Healthco: And then regarding your guidance for $120-130 million CGM sales, can you talk about did you anticipate any hits from your growth due to the Medtronic next-gen CGM launch in the summer if they get approval this summer of Enlite? Have you taken that into your guidance? 
Terry Gregg: Look, we address two different markets. They’re really addressing the pump market, and that is something that as you know just based on their latest quarter announcement was declining as pump sale. They really never had a standalone product that was a competitive product, and I think even looking at the clinical results of Enlite versus G4, I would say most of the academic and clinical community have been disappointed in the performance of the Enlite. We’ve seen data even in head-to-head competition by independent researchers that looks like its approaching the same kind of accuracy as the SEVEN Plus has achieved. But in terms of comparing that and contrast that to the current data we’re getting from G4, in that contrast, we’re 70% more accurate overall between 40 and 400 mg of detection. We’re really getting down below, close to that 10 AMRD range. So I think that, from the user standpoint, accuracy really counts, and they’re really trying to sell that as part of an integrated system. I think our pump partners will have to address that both Animus and Tandem. And I would say this, they’ve had the system approved in Europe for some time now, and yet on Kevin’s comments, based on what J&J presented in their first quarter call was that in places where they’ve launched the Vibe, they’re growing it anywhere from 35% to 50%. Their informal comments to us are that they’re not very impressed with the [unintelligible] system. They don’t find it as a competitive threat, and they’re not having any problem replacing Medtronic pumps in that space. So is that going to translate the same in the U.S.? It remains to be seen. 
Mimi Pham - ABR Healthco: Okay, but we should assume if they happen to announce approval mid-summer, that doesn’t necessarily change your guidance or expectations? 
Terry Gregg: It doesn’t change our guidance at all. Again, I want to differentiate who we are versus the pump world. The pump world is a $2 billion market. Glucose monitoring is somewhere between $10 billion and $12 billion. We are in the glucose monitoring markets. Our program this year for 2013 is CGM first. And what that means is because if you look at the U.S. pump market, maybe 28% penetrated. That means there’s 60%-plus that’s still using injections. We need to move the dynamic that when a patient walks in, regardless of their insulin delivery mechanism, that the physician says, I need to know more about your glucose first. Because that’s really the goal. If you look at the pharmaceutical companies, and all of the billions of dollars that they’re spending on drugs, it’s all about trying to figure out how to reduce glycemic variability. My god, we do that every day. And so I think we’ve got to get that point across to the prescribing population to say how important it truly is about glucose. And that’s really where we’re focused. So I don’t view the pending approval - that’s if they can get approval - sometime later this year as being competitive to us whatsoever. 
Mimi Pham - ABR Healthco: And in terms of the international, the 10% of sales, is the majority of that associated with Vibe, or are you getting a ramp in the standalone gen-4 sales? 
Terry Gregg: We’re getting good traction with the standalone, quite happily so. Because that’s a tough reimbursement market, and so for the first time, as part of that contribution, we’re routinely seeing patients willing to pay out of pocket, which is something that is very unusual in a socialized medicine situation where they get all of their supplies for diabetes either from the clinic or certainly reimbursed by the government. But the value proposition is such that many of these patients are electing to pay out of pocket in order to maintain the product on an ongoing basis. 
Mimi Pham - ABR Healthco: And then just last question regarding the share system. We’ve heard about their being a strong demand for something like that for a while, from parents. Is this a PMA supplement, or is it an easier FDA path? 
Terry Gregg: No, it’s going to be a PMA supplement. 
Operator: Our next question comes from Stephen Lichtman from Oppenheimer. Please go ahead. 
Stephen Lichtman - Oppenheimer: Just a couple of pipeline clarifications. In terms of Vibe in the United States, with the change in the structure of the filing, and I don’t know if it was a full PMA or a PMA supplement, but if it is a full PMA, does that change your timing of potential by end of year? 
Steve Pacelli: No, statutorily, it’s 180 days. Look at our performance on the G4 PLATINUM, 177 days. If you look at the Vibe combination, the Vibe system is effectively the G4 PLATINUM with a base 20-20 pump, with some modifications. So you could argue that it’s basically two approved products, just talking to each other. So I don’t think there’s anything that gives us reason to believe that it’s going to be an extended review cycle, even though it’s classified as a full PMA. 
Stephen Lichtman - Oppenheimer: And then as you do move to gen-5, and recognizing you’re already on 4.5, but as you move to 5, do you need to refile with Animus and Tandem? How will that work when that gets through? 
Steve Pacelli: Again, they reference our PMA, but they would need to file a subsequent filing with each sensor iteration that we achieve. That is right. So they’ll always be a generation, for some period of time, behind us, while their filing is pending. 
Stephen Lichtman - Oppenheimer: And you haven’t indicated about gen-5 filing potential, right? In terms of timing? 
Terry Gregg: We didn’t give any timelines today, no.
Operator: Our next question comes from Bill Plovanic from Canaccord. Please go ahead. 
Bill Plovanic - Canaccord: A couple of follow up questions here. Do you expect any upgrades in Q1 or Q2? Or has that program been exhausted at this point? 
Kevin Sayer: The $399 program, the in-warranty upgrade, is done. We ended that on January 31. Upgrades of patients out of warranty will occur all year long. And so there will be some. And it’s always been part of our core business, and will continue to be part of it. There are a lot of patients who, you know, they’re sitting there in the fourth quarter looking at their insurance dollars, and say, okay, I can pay $399 now, or I can wait until the first quarter, and my copay’s going to be $275, I’m going to wait until the first quarter and go the $275. We gave the patients the option, if they wanted to speed it up, and they wanted to get on the gen-4 system, we gave them the opportunity. A lot of them chose not to take it. They’ll upgrade throughout the course of the year, and take advantage of their copays and their deductibles and the other things. So we will have upgrades all year. But our goal is very clear. We want everybody on gen-4 before the end of this year. 
Bill Plovanic - Canaccord: So we will some more of those in Q1, because it ended in January 31? 
Kevin Sayer: Yeah, but not many. Not much. 
Bill Plovanic - Canaccord: And then the development revenues were pretty big in this quarter. Was that Edwards? What was the extra amount that you received in Q4? And then the extra that you’re picking up in Q1? 
Steve Pacelli: We did receive additional funding from Edwards in Q4, just like we have in the prior quarters, outside of the development agreement. We expect that, as we’ve stated before, to really go away in Q1. If we do have any, we don’t expect it at this point to be overly significant. And I think you might have heard our comment before, but in Q1, as we sit here today, we expect about $1 million, $1.1 million, in development grant revenue, and then going forward through 2014, expect about $100,000 a quarter. 
Bill Plovanic - Canaccord: And then on the accounts receivable, you did address it in your opening comments, but a little more clarity. It was a pretty big jump sequentially in year over year, and I’m just curious if you could explain that a little. 
Kevin Sayer: Sure. We sold a lot of stuff in December. When you have a quarter that big, as big as our $32 million quarter, compared to $20 million last year, $21 million in Q3, we upped the sales number $9 million, and as is with particularly every quarter I’ve been at a diabetes company, December is the biggest month of the year. So when you just look at straight timing, our receivables grew just based on the business activity, and there was no other reason. Most of those receivables are directly with payers, and we’re billing and collecting that. First quarter should be a very good collection quarter. And Bill, we’d expect that to go down as we get into the first quarter. And then manage it the same way throughout the other quarters of the year. So there’s nothing unusual there, it’s just a lot of late in the year volume that you just can’t get paid on before the year’s over. 
Bill Plovanic - Canaccord: And then historically, I think your mix has been 70% non-pumpers, 30% pumpers. Is that mix changing now with G4? Or do you expect that mix change, outside of your partners as we look forward? 
Terry Gregg: That number’s really been 60% pumpers, 40% MDI patients. Obviously as the pumpers come on, we would expect some of that shift to happen, but I’m cautious. Because we’ve been pretty steady state on that ratio for some time, and as Kevin mentioned in one of his comments, with regard to once the Vibe is launched, if you look at the dynamics of that 60%, some 40% plus are already on Animus. About 30% are on Medtronic, the rest on Insulet. We’ve got some on Roche, and even some on [Deltec] pumps. So we’ve already got a pretty significant share of the Animus population. But going forward, having them promoting the product, yeah, we would like to said earlier an uptick there as well. But I don’t think the ratios are going to change all that much. 
Bill Plovanic - Canaccord: And as we think of the Animus opportunity, how many pumpers do you think they have, or how big is the pump market in your opinion? And what percent share do you think they have? Same question asked a different way. 
Terry Gregg: Well, I think in the U.S. the pump market is probably somewhere around 400,000 total. My guess is - again, I don’t want to speak for Animus. I’ve always said, gee, it looks to me like they’ve got about 18-20% share of that market. The challenge with the market is it’s not growing. It’s actually, if anything, having a bit of a decline. So if you’re not growing, it’s hard to predict where the share is shifting. We certainly know that if you listen to Animus, if you listen to Insulet, they seem to be adding pumpers, so that means organic growth isn’t growing. That means they’ve got to be cannibalizing from Medtronic. If you listen to Tandem, their first three or four months they told us that about 50% of their patients that they put to the t:slim were Medtronic patients, 25% were brand new patients new to pump therapy, the remaining 25% came from cannibalization of Animus and Insulet, Roche and Smith. So I think that’s kind of the landscape that we think about going forward. 
Bill Plovanic - Canaccord: And then as you think of the pediatric label, you submitted for that. If you have approval on that, do you have to wait for that to submit to Animus? Or would that approval for a ped automatically roll onto the Animus? I’m just trying to figure this out from a timing standpoint. Are they going to have to basically hold up and wait until you get that ped so they can have the ped label? Because I would assume that’s important for them in the U.S.. 
Steve Pacelli: You’re right. Remember, with the Animus Vibe, their clinical trial requirement, if you will, is more what we call a human factors trial. Basically button pushing. Animus will have to do a supplemental human factors trial with pediatric patients, and then file that. And they will have to wait until we receive our approval, so they can reference our approved product. So yeah, there will be a gap. That doesn’t mean it holds up the initial Vibe. They will go forward with the initial Vibe filing as soon as possible, now. They won’t wait until we get a peds indication. They’ll have to supplement their PMA submission with a peds submission at some point down the road. 
Bill Plovanic - Canaccord: And then just in my last question, if I look at the Animus deal, the way it is now from a reimbursement standpoint, it’s great that you have daily reimbursement. They have their reimbursement set up. But as you think about them selling the pumps, and you now have some international experience, but in the U.S., are they going to get the reimbursement approval for the CGM? Are you going to do it? And then how do you get the product to the patient? Has that all been worked out at this point? 
Steve Pacelli: It’s a to be determined. There’s a contract in place, but we’re exploring different ways that we might make it more seamless for the patient. So what I would tell you is table that question until probably the next conference call and we’ll have some more clarity there. 
Terry Gregg: From a reimbursement standpoint, the [unintelligible] codes are established, so there is a mechanism if we got approval tomorrow, as an example, and even this wasn’t worked out, it’s really from a patient convenience standpoint, not from a reimbursement standpoint.
Operator: At this time, we have no further questions. 